Operator: Good afternoon, ladies and gentlemen. Thank you for standing by. Welcome to today's 2019 Q1 Interim Report. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session [Operator Instructions]. I must advise you that this conference is being recorded today, Wednesday, May 22, 2019. I would now like to hand the conference over to your first speaker today, Rolf Sørensen. Thank you. And please go ahead, sir.
Rolf Sørensen: Yes. Thank you, operator. My name is Rolf Sørensen, Vice President, Investor Relations. And with me here in the room, I have Paul Chaplin, President and CEO, and Henrik Juuel, Executive Vice President, CFO. Before we begin the presentation, I would like to read the following statement. This presentation includes forward-looking statements that involve risks, uncertainties and other factors, many of which are outside of our control that would cause actual results to differ materially from the results discussed. Forward-looking statements include statements regarding our short-term objectives and opportunities, financial expectations for the full year and financial preparedness as of year-end, as well as statements concerning our plans, objectives, goals, future events, performance that is not historical information.  Forward-looking statements are expressly qualified by these cautionary statements. We undertake no obligation to publicly update or revise forward-looking statements to reflect subsequent events or circumstances after the date made, except as required by law. And after this introduction, I will hand it back to Paul Chaplin.
Paul Chaplin: Thanks, Rolf. And welcome, everyone, to our Q1 reports. If you go to slide three, we've had an extremely productive first three months of 2019, really setting up an exciting year ahead.  Our BLA for our MVA smallpox vaccine is on track and we still anticipate our first US approval later this year. And as I'm sure many of you know, that will also come with a Priority Review Voucher with an intention to sell. We continue to invest for the future and are expanding our manufacturing footprint. And early this year, the US government is chipping in with $44 million option to support the tech transfer of the manufacturing process to our new facility. And everything is going according to plan, nudging us ever nearer to return to profitability in the near term. In terms of RSV, we're extremely excited about the opportunity that we have ahead of us and we're finalizing our discussions on the Phase III design and we will be coming back to the market later this year. With our partnership with Janssen, we've seen two significant events. We've entered a Phase I/IIa for our HPV vaccine treating chronically infected women to prevent cervical cancer and we've seen development in Ebola in with the WHO advisory group recommending our combination vaccine to be used in the current outbreak. In cancer immunotherapy, we've completed enrollment in our pivotal chordoma study and that will have an exciting readout later this year. And in terms of financials, we remain on track, but I'll leave that for Henrik to discuss later in the presentation. Going to slide 4, we aspire to be a leading and profitable biotechnology that, through harnessing the power of the immune system, will develop, manufacture, but also commercialize products for both infectious diseases and cancer. This vision is underpinned by four strategic objectives. One is to maintain our global leadership of our smallpox vaccine business. And to do this, we want to finalize the development not only of the liquid frozen, but also the freeze-dried and secure broader sales which I'll come to in the coming slides. We want to expand and rapidly advance our infectious disease programs. By that, we want to launch our RSV program, advance our partner programs with Janssen, but also bring some exciting new opportunities from preclinical into the clinical pipeline in the months/years ahead. We also want to establish a broad and deep cancer immunotherapy portfolio. We want to explore the current strategy of combining our vaccines with checkpoint inhibitors, another standard of care. But later this year, we would also bring some new exciting opportunities and different therapies that will hopefully help patients in the near term.  Finally, we want to expand our commercial footprint and capabilities. And what do I mean by that is that we want to harness one of our key strengths, which is our manufacturing capability. If you look at most manufacturers of live virus, vaccines, they have difficulty in providing the market the stockouts. We've had a continuity of supply for the last 10 years, and we believe that's a true asset for us and we want to harness that both through the expansion of our facility, but also in our current capability. And we also want to build a commercial infrastructure in the years ahead that will help us commercialize the business. On slide five, I want to talk a little bit about our global leadership in smallpox vaccines. Honestly, we've had a very strong presence in this arena for over the last 10 years. The reason we believe we're a global leader is we're the only company that is currently providing a safer alternative smallpox vaccine that's suitable for the general population. And we've been extremely successful over the last 10, securing nearly $1.8 billion in both investment, in R&D, but also in acquisition of the product. In the past, we've completed 22 clinical studies, and that's one of the reasons that the approval date of our product was extended. It's a vast amount of data that we've generated. Currently, we'll have bulk vaccine by the end of this year of $333 million. We expect our first US approval later this year, which will be coming with a Priority Review Voucher. And we will also be initiating our Phase III freeze-dried trial fully funded by the US government later this year. The future, of course, we see huge potential that is currently in the current order $299 million to convert all this bulk that we've manufactured over the last three years into approximately 13 million doses that will return the company to profitability once the facility is up and running. But with a safer alternative vaccine that is likely to be approved later this year, there are new opportunities to start vaccinating first-line responders, military, and the like that will expand the opportunity well beyond the current stockpile that you've seen over the last few years. And talk to that point on slide six. Monkeypox is a growing threat. There's been a number of cases. There is a current serious outbreak of monkeypox in Nigeria and there's been recent cases in the UK, Israel, all from people returning from those areas. And what this highlights is that there is a true need for better preparedness by governments around the world because what's happened here is healthcare workers have also been infected. We've had to deal with these infected patients and we see a huge opportunity in the better preparedness against monkeypox, but also smallpox in the years to come. On slide 7, we have a very exciting asset, in that we have completely differentiated RSV vaccine, targeting the elderly. We have a very exciting Phase II data where we've shown that our vaccine concept induces very broad antibody T cell responses against RSV, which, as I said, is completely differentiated approach to anyone else.  And we're currently in the process of finalizing the discussions with the authorities on a Phase III design, which we plan to initiate next year. And currently, a concept that we're trying to push through is a two season design, with a futility analysis after season 1. So, that would be in 2021 if we start the study in 2020 as planned. And if it's obviously positive, we'll continue to go into season two with a very high degree of certainty if we pass that futility analysis. But as I said, we need to finalize our discussions on the exact size and the exact strategy moving forward, which will come back to the markets sometime in the summer. On slide 8, as you well know, we're investing $75 million in a state-of-the-art fill/finish facility, which will allow us for the first time to really can take full control of our manufacturing. Not just manufacturing the bulk vaccine, but be able to fill either liquid or freeze-dried visions, and this is really a game changer for us. The investments in this facility are going to peak this year, meaning that everything will be an equal, meaning that the cash burn should reduce next year, but this is a state-of-the-art facility. It will allow us to return to profitability with the current order we have. But, obviously, we've been encouraged by the US government to make this investment, which is not about the existing order, but it's about future orders and future supply. On slide nine, to just give you an update of our pivotal trial in chordoma, our Brachyury vaccine is being evaluated in an ultra-rare indication. Chordoma is unique in that it expresses Brachyury throughout the tumor and makes it an ideal indication to test the Brachyury-based vaccine.  We enrolled 10 patients ahead of schedule, which I guess highlights the interest that there is by chordoma patients in this study. And this is in combination with radiation and we should start to see the first results later this year, which will be, hopefully, the first indication that our strategy in oncology is along the right lines, in that in combination stand of the care vaccines can actually improve the efficacy and prolong survival.  Likewise, on slide 10, we have three ongoing Phase II studies looking at CV301, which is targeting MUC-1 and CEA, which are two tumor-associated antigens in three different indications, all with different checkpoint inhibitors. The concept here is that checkpoint inhibitors, obviously, work in about 20% of the patients who have an existing immunity against the tumor, but the majority of patients don't respond because their immune system has not recognized the tumor. We believe that, with CV301, we can stimulate an immune response and make that immune response a lot more effective with the standard of care in many of the indications. And in terms of bladder, we're well on road – well on track to complete enrollment in the first stage and we would expect data from this pivotal – from this interesting and important study later this year. So, we have an exciting year ahead based on the solid foundation of the first three months. We're looking to have our first approval of our smallpox vaccine, but also some pivotal data from our oncology programs as well. And with that, I'll handover to Henrik to walk you through the financials.
Henrik Juuel : Thank you very much, Paul. And welcome to all the listeners for this conference call.  On slide number 11, I just want to reiterate our message that we are right now in a phase where we're investing for the future. And I believe this is best initiated by the graph below here, showing how much we are currently investing in our pipeline, our R&D assets. In 2019, we expect DKK 570 million invested in R&D, with the majority of that going towards our infectious disease programs and a smaller part to our oncology business where we are very cautious on our spending, using adaptive trial designs, etc. But besides the R&D investments, as Paul alluded to, we are investing significantly in expanding our manufacturing capabilities, which again will be one of the means to a faster return back to profitability in the near term. 2019 will be the peak year in terms of investing in our fill/finish plant as we are planning actually to finalize the construction of the plant this year and ready for the qualifications – to start the qualifications of the plant next year. So, let's turn to slide number 12. Looking at the results for the first three months of 2019, if you look at the lower left table, you will see that we reached a total revenue level of DKK 127 million, comprised of DKK 49 million from revenue recognition of three IMVAMUNE batches. Remember, we have previously guided that we – this is the second tranche of the contract we have for US$50 million. So, 20 batches of IMVAMUNE should be recognized this year. Then, we also have – as part of the revenue, we reached DKK 78 million of revenue from our R&D contracts. And during the first three months, we saw contributions from our agreement with the Department of Defense on the equine encephalitis vaccine development. We saw contributions from our BARDA agreement on the tech transfer that Paul alluded to previously and we also have some contribution from our agreements with our partner Janssen. Looking at the EBIT for first three months, we saw a loss of DKK 104 million. And finally, after the investments that we conducted during the first three months as well, we ended up with a cash preparedness up to nearly DKK 2.2 billion. Cash preparedness is defined as [Technical Difficulty] plus some unused credit facilities. So, all in all, I think we have delivered on our own expectations and our guidance and we are maintaining the guidance for the full year. And again, I just have to state here, for the sake of clarity, that any potential income from our Priority Review Voucher, which we expect to be awarded after approval of our IMVAMUNE product in September, is not included in any of these guided numbers. Turning to slide number 13, I think this slide we have included again just to help provide a little more clarity on the, what we call, the cast preparedness. Here you will see the approximately DKK 2.2 billion in cast preparedness broken down by the amount you will find in the balance sheet, the DKK 1.9 billion of securities, cash and equivalents, and then we have DKK 244 million in unutilized credit lines, primarily the €30 million loan we have from the European Investment Bank. In the table below, you will see an overview of our current and total debt. That is primarily the European Investment Bank loan that we have utilized, the first one we got, DKK 372 million, and then we have a smaller mortgage in our facilities here in Kvistgård, Denmark.  So, that was the breakdown of the financial position. And I think, again, the confusion is here, yes, we are investing in the future, but we are making very deliberate investments both in our R&D and in our fill and finish plant and we are very well prepared to continue executing on the strategy.  As you will remember, we have guided that we expect to end 2019 even despite these significant investments with our cash preparedness of DKK 1.6 billion. Let's turn to the next slide, which is basically a summary of some of Paul's presentations focusing on priorities and goals and expected news flow for 2019. And here again grouped by our key strategic objectives. So, within our smallpox business, very, obviously, I think the big thing to happen this year will be the approval of the first product in the US which we anticipate in September, with the following award of a Priority Review Voucher which we are intending to sell.  But, secondly, we also are planning to start the initiation of Phase III study of our freeze-dried version later during this quarter. Within the other infectious disease programs, big thing here, naturally, will be to go out to the market and announce our development plans for RSV, which we expect to be able to do around mid this year. We are also anticipating to start Phase I dose-finding study of equine encephalitis. This is our agreement with the Department of Defense and we expect actually to initiate that study during the second half of this year. And then, finally, within this strategic objective, we also expect Janssen to start their Phase I/IIa study of HIV later this year. Within our cancer immunotherapy portfolio, I think we have an exciting time ahead of us as two of our currently running studies will have the first readout. And as Paul mentioned previously, this is in the chordoma study where we could expect first results in the fourth quarter of this year. And secondly, it's also in our CV301 project in combination with checkpoint inhibitors in bladder cancer where we also expect to have the first readouts later this year. But then, besides the running trials, we are also this year going to test new routes of administration. We're planning to initiate a Phase I intravenous administration study of BN-Brachyury and the Phase I intra-tumoral administration using CV301 in solid tumors. So, also an exciting time ahead of us within the cancer immunotherapy area. And finally, within our ambition to expand the commercial footprint and capabilities, we are still on track to finalize the construction of fill and finish facility by the end of this year. So, with that, I will hand the word back to Paul.
Paul Chaplin : Thanks. So, I think we'll open up the call for Q&A.
Operator: Thank you, sir. [Operator Instructions]. Your first question comes from the line of Chad Messer of Needham & Company. Please ask your question.
Chad Messer: Great, thanks. Appreciate the opportunity to ask some questions here. First, just on the equine encephalitis program, just wondering if you could give us an idea of what the ultimate opportunity here might be. I guess the US government would be your major customer here. Any idea how big of an opportunity to sell this to them? What revenues potential might be outside of, obviously, them funding the program to begin with?
Paul Chaplin: Yeah. Thanks, Chad. So, the opportunity right now is, obviously, DoD is very interested in developing a vaccine primarily to vaccinate military personnel because it's a potential biological threat. They've actually evaluated a number of different vaccine platforms in preclinical studies and, in fact, our platform came out on top and that led to the initial award to evaluate the safety and immunogenicity of our current construct. That's basically the concept of the contract we have to date. However, obviously, if we show that it's immunogenic as we believe it will be in the clinical studies, there's potential that this is going to lead to a much larger contract to develop this all the way through to licensure. So, that in itself could be a substantial contract award.  And then, of course, post successful licensure of the product, we're really looking at a DoD supply. And again, the opportunity there is potentially quite substantial, if you look other vaccines that are being sold to DoD for new recruits. So, it is potentially quite a big opportunity, both in the near term in terms of new contracts, but also in the longer term in adding to the top line in sales to the US military. 
Chad Messer: Great to see you guys leveraging the platform and some of your relationships to expand business. And then, another one on the Brachyury readout. I know what you're looking for is at least one objective response out of 10. Just wondering how the sort of conclusion of the data set or what triggers the readout. When you get a response, is that – does that trigger it or is there some kind of amount of follow-up on the last patient that we're waiting for?
Paul Chaplin: So, as a fact, if you go back to slide 9, we actually show the course of events in terms of the trial. So, we start vaccinating prior to the standard of car, which is radiation, and then the first MRI is in terms of – or CT scans in terms of having a look at the tumor lesions is actually some time later in the normal course of events. So, of course, as you mentioned, we're looking for one objective response. We've enrolled 10 patients ahead of schedule. However, I believe we only have one or two patients that are currently being evaluated at their first CT scan.  If one of those scans shows a potential positive response in terms of objective response, it would go to the independent DSMB charter who would look at the data independently and they would actually request the confirmatory CT scan four weeks later. And once that's been confirmed, then, obviously, we would have our first objective response, which would trigger going into stage 2. We're anticipating the data readout will be in the second half of this year simply because of the time course of the treatment and the standard of care.
Chad Messer: All right. Clear. Very exciting. And then, Paul, I've just got to ask, I was a little surprised to learn about the departure of Dr. Heery, especially ahead of all of the exciting cancer immunotherapy readouts that we're expecting. You've just got to ask, does this affect you guys at all? And are there plans to get another get another chief medical officer? And if so, what would the profile of that person ideally be?
Paul Chaplin: Yeah. Yeah, you're right. Chris has left us, which is obviously a shame because Chris is a great guy, has really contributed a lot in the short term here was here. But as I'm sure we are very aware, it's a very highly competitive market to retain attractive talent like Chris in terms of oncologists. So, he's gone with our best wishes, and I'm sure he'll do great where he's gone. Of course, we're going to replace him even though that's a difficult task, but we will. And again, we're looking for someone who has got industry experience in clinical development, both in oncology, but also infectious diseases.
Chad Messer: All right. Thank you, Paul.
Operator: Thank you. Your next question comes from the line of Michael Novod of Nordea. Please ask your question.
Michael Novod: Yes. Thank you very much. Just a question to the RSV program. And in terms of the Phase III trials, I know you're still working with the FDA to determine the final design, but can we conclude that the full trial, the cost is 80 million to 120 million, it's going to cost you 40 million, 50 million to take in the data for the futility analysis. Just to get a feeling for the cost to go there because 40 million, 50 million would be quite easy, I guess, for you guys, also with the PRV in mind that you can sell. And then, secondly, on chordoma, maybe I missed it, but just try to describe a scenario for us now. You need four responses – or one response out of the first 10 patients [indiscernible] and then you need 4 out of the total 29 if you can progress it into the stage 2. I know it might be an unrealistic scenario, but what happens if you get 4 responses out of the first 10 patients? Maybe you can just elaborate a bit on that for us.
Paul Chaplin: Sure. So, thanks for the question. So, yes, I think your assumption on what the season 1 would cost is in the ballpark. The reason again we're not giving clarity right now is we really don't know the total number of subjects that we're looking at, which is all to do with the statistical plan. But, yes, I would say to help you guide, a figure of 40 million to 50 million for season 1 is in the right ballpark. In terms of chordoma, yes, you've got – yeah, so it's an interesting question. What happens if we see four already in the first ten? Well, that would be unprecedented, unheard of in this situation and that would certainly accelerate our discussions with the authorities on how to proceed. However, typically, when the FDA already knows you, 10 would be a very small number. And when they already know you're enrolling more, they would probably want to see what the outcome is. But if we got 4 out of 10, it would be unprecedented in this indication and would really stimulate a lot of discussions with the authorities on how to move forward.
Michael Novod: What about if you get two? Would that qualify also for this to potentially breakthrough designation or what should be, say, required for this to be qualifying for a breakthrough designation with the FDA?
Paul Chaplin: Well, we believe the four out of the total number of patients, it would also be an outstanding result. Again, if we got something in the first 10, it would be a strong indication, but it's only 10 patients, right? And although I know we're only going to be enrolling 29 in total which is still very small, 10 is a relatively small sample size to draw strong conclusions on a breakthrough. However, as I said, let's see what the data reads out and what the discussions with the authorities entail.
Michael Novod: Okay. And just one more follow-up, if I may. So, I just came back from seeing J&J at the CND [ph] in the US. And they clearly have revisited their RSV strategy, do a major write-down on one of their assets they bought and now they're running a new Phase II or Phase IIb with the one they call RSVs senior vaccine. So, for the elderly. They are in Phase II, Phase IIb. Maybe you could just elaborate a bit on the competitive environment because it seems like also with the recent failure that you're actually ahead of the pack now or do you see someone moving in front of you on the vaccine side? I know there are other approaches, antibodies, et cetera, but on the vaccine side, maybe you could just give us a bit of your thoughts on the competitive environment?
Paul Chaplin: Sure. So, who's in the lead is always subjective of where you're sitting, but I'll say that we're definitely in the lead. When I look at the competition, including Janssen or J&J, their concept is to use the fusion (F) protein within their vaccine platform, which is adenovirus as you know. They have a slightly different concept, in that they're using one form of the fusion protein, which is believed to give you stronger neutralizing antibodies, but it is basically based on initiating neutralizing antibodies. This concept of using F, whether it's the pre or the post, has failed for numerous companies. In our hands, when we use F alone in our platform, we can't protect animals in the relevant animal models, which is why we have developed our concept to have [Technical Difficulty]. One of the reasons that a lot of competition don't go for the same strategy is their vaccine platforms don't allow them to encode five antigens, which is an advantage we have. Who is right at the end of the day, we're going to find out pretty soon because we plan to start Phase III next year and we'll have a readout in 2021. So, I'm confident in our approach. It's rare I would say in vaccine development that you design a vaccine to do something that actually does exactly what you designed it to do in the clinic. You often design a vaccine and it does some of the things you want it to do and you convince yourself that that's good enough. This is doing exactly what we wanted it to do and I believe it's worth evaluating in the clinic.
Michael Novod: Thank you so much.
Operator: Thank you. Your next question comes from the line of Nick Nieland of Citi. Please ask your question.
Nick Nieland: Hi. Thanks for taking the questions. So, firstly, with the news flow regarding the outbreaks of monkeypox infection in various countries, has that directly led to any orders of [indiscernible] governments outside the US? Secondly, you mentioned you release of the HIV vaccine is expected to initiate later this year. Is there a milestone associated with that initiation similar to the HPV? And then, do you see any of the healthcare reform in the US and potential budget cuts as a threat to your long-term IMVAMUNE revenues?
Paul Chaplin: Thanks, Nick. First question is related to the outbreaks of monkeypox has led to any order outside the US, well, yes. Small orders in the UK where we supplied our IMVANEX as it's licensed in the EU to vaccinate those who were already exposed and others dealing with the infected patient. Interestingly, in the UK, they actually have a licensed replicating smallpox vaccine which is stockpiled, but they actually requested the safe alternative from us. We do anticipate that the monkeypox indication – or the monkeypox situation is actually generating a lot more discussion in various governments, but we'll have to see how that market develops. Your other question related to the initiation of HIV, would it stimulate a milestone payment, again, we haven't revealed any milestone payments on that program, but we'll probably make that clearer when that study gets initiated. And your other question related to budget cuts and the like in the US and how could that affect us, well, of course, it could affect us. I can't deny it, that there are cuts. However, having said all of that, over the last two administrations, or in fact I should say three or four administrations where there have been budget cuts and constraints and even shutdown of the government, the one thing that remains funded at the levels it's requested or even above is biodefense. So, independent of which party is sitting in the White House, it seems to be universally well-funded. That's certainly been our experience over the last decade.
Nick Nieland: Okay, thank you.
Operator: Thank you. [Operator Instructions]. Your next question comes from the line of Boris Peaker of Cowen. Please ask your question.
John Scott: Good morning. This is John Scott on for Boris. I had a question on RSV. Would that interim analysis be powered for efficacy for a potential early stop and filing after one season a day or is this strictly [indiscernible] trial only if there is unlikely to be a benefit?
Paul Chaplin: Thanks for the question. How do I answer that? I think most likely it is futility. But, again, it just depends on just how efficacious the vaccine is. As you know, when you do an efficacy study, you make certain assumptions and you power it for those assumptions. If the vaccine is a hell of a lot more efficacious than your assumptions, it could, but most likely I wouldn't be promoting that as a likelihood. However, the way we're trying to power the study, if we pass the futility analysis, at least the way we're discussing with the FDA, it would really increase the chances of success in the second season. But, again, these details, I would rather leave until they are really confirmed in the protocol design that we're discussing with the FDA.
John Scott: Okay, thank you. And then, on smallpox, you've discussed some additional settings for healthcare and military personnel. Would the first step in that process be responding to a request for proposal from the US government or can you approach healthcare providers directly for their workers once there is an FDA approval?
Paul Chaplin: Let's see after the FDA approval, but it's our working hypothesis that we will be able to directly approach healthcare workers once we have an approved product. Of course, one of the customers outside of BARDA who is stockpiling it is DoD. And, of course, there are ongoing discussions already with DoD as, obviously, change in their policies or order of vaccines is a relatively slow process. But, yeah, we see really good opportunities once we have a safer alternative that's suitable for the general population.
John Scott: Okay. Thank you for taking my questions.
Operator: Thank you. And your next question comes from Jacob Lademann of Carnegie. Please ask your question.
Jacob Lademann: Yes. Hello. Thanks for taking the question. My question is around CV301 and your new administration methodology. Could you update us if you have any further preclinical result and what is the current plan to take it into the clinic also in relation to ongoing CV301 Phase II studies?
Paul Chaplin: Yeah. So, we've re-engineered CV301. So, we start with a priming dose of MVA, encoding the relative antigens and TRICOM. And we do it in a slightly different way than we've done in the past, in that we give the highest dose possible. And to achieve that, we vaccinate high doses in each limb, so both legs, both arms. And we repeat that vaccination four weeks later. So, we're giving a lot more vaccine than we've previously done in terms of priming. And the reason we go in each limb is that we have some evidence that that's a great spot in terms of the draining lymph nodes which is where all the immune activation occurs. And then, we follow-up with fowlpox boosters at relative different intervals, but throughout the entire length of the standard of care, whether that's with a checkpoint inhibitor or with radiation. There is some data that NCI have already generated, indicating that this approach, both the Brachyury and also CV301 is a lot more immunogenic than the previous approach with PROSTVAC, which is great. It's really encouraging, but we'll have to wait and see whether those greater immune responses bear out in a larger number of patients in the ongoing studies and, of course, whether those immune responses can lead to clinical responses in combination with the standard of care.  We have three ongoing studies, as I indicated in the presentation. And importantly, we will have data readout from one of those in terms of the first data readout in bladder later this year, which will hopefully confirm that our strategy is going in the right direction. Similarly, with chordoma, as I've said, we have a similar vaccination regime. We should have data readout later this year which would, again, hopefully confirm that the new approach is working.
Jacob Lademann: Thanks. I was actually thinking about the intratumoral injections. So, I guess, you're discussing what you're currently doing in the current clinical trials, right?
Paul Chaplin: Yeah. And we have a couple of studies planned where we want to vaccinate both directly into the tumor. Again, the preclinical evidence there is that we can really change the tumor marker environment. We will make it much more inflammatory which is great for the T cell responses to be effective. We have some really exciting preclinical data that is not only changing the tumor marker environment, but it's also stimulating great T cell responses that are attacking and killing the tumor.  While CV301 and Brachyury may not be the optimal constructs both for intravenous or intratumoral, which we'll be testing, these are going to be important studies for safety and also for some initial indications of efficacy, while we come hopefully next year with a more optimal construct once we've already established the safety with Brachyury and CV301. 
Jacob Lademann: And just a final follow-up here, would that mean that – for instance, if you chose one objective response in Brachyury here in the first stage of the trial, would you then consider switching to a new construct or is this too long into the future [indiscernible] as moving forward with what you currently have in the clinic?
Paul Chaplin: Once the study is ongoing, it's difficult to swap and change about what you're doing. I know it's – a number of people have criticized it, but we actually have multiple studies moving in parallel. It's a difficult nut to crack, as you all know in oncology. It doesn't mean that we don't believe in CV301 or Brachyury with checkpoint inhibitors or radiation. We still believe in those concepts. We have a lot of solid data suggesting that that is a good strategy. However, we have other strategies as well which indicate that they may work in different indications with other products that we're also pursuing. So, we're pursuing multiple strategies in parallel. And again, we're doing it in a very cost-effective way that hopefully will bear fruit in the months and years ahead.
Jacob Lademann: That's clear. Thanks.
Operator: Thank you. We have a follow-up question from Michael Novod of Nordea. Please ask your question.
Michael Novod: Yeah. Thank you very much. Just a question to your comments on the investing for the future slide regarding manufacturing for partners and/or collaborators. I was just thinking how much can you actually do in terms of contract manufacturing when everything is up and running and ready in 2021 because we have seen other companies even within Denmark, Lundbeck, generating a lot of income from contract manufacturing. So, is that going to be a specific strategy that you're going to allocate some of your capacity for contract manufacturing and how much can you actually do in terms of capacity for others? 
Paul Chaplin: Yeah, thanks. Having manufacturing capabilities is both a blessing and a noose around your neck in some ways, in that it's a blessing that we have the capabilities. However, of course, the infrastructure for manufacturing live vaccines is very costly. Nonetheless, the best way of utilizing that expertise is to utilize the capacity the best you can. So, we are looking at opportunities both to do contract manufacturing, I would say, more strategically for certain partners, both from the bulk potentially, but also on the fill/finish. Again, the mix of how much contract manufacturing do we do versus how much of our own filling depends really on what's on the order books, but we're looking to optimize the facility costs by filling the facility both with our own products and with strategic partners.
Michael Novod: Maybe also asking also in a different way, if you had the capacity today, would you be able to have contracts already? Is the interest there?
Paul Chaplin: There's a lot of interest. I can tell you already. We haven't even finished building the building. There's already a lot of interest. There is a shortage of filling capability both for liquid and freeze-dried for live viruses for starters and/or specialty filling. And this is a state-of-the-art facility for live viruses, but, of course, we can fill other things. so, there is a lot of interest here.
Michael Novod: Okay, super. Thanks. 
Operator: There are no further questions at this time, sir. Please continue.
Paul Chaplin: Thank you. Thank you, everyone, for your time today and for your questions. So, thank you very much and goodbye. 
Operator: Thank you, ladies and gentlemen. That does conclude our conference for today. Thank you all for participating. You may now disconnect.